Bertrand Dumazy: [Started Abruptly] It’s going to be a presentation of about 50 minutes and then Julien, the CFO of the Group and myself will be happy to answer any question you may have for the remaining 40 minutes. It means that this presentation will end at 10 a.m. So there are in fact six messages that I want to share with you today. The first one is, yes, Edenred delivered in 2024 a strong performance from top to bottom and above the consensus. Second message, yes, we are exceeding our 2024 guidance because we post a like-for-like EBITDA growth of 19%. Then the third message is we increased in 2024 our shareholder return. The fourth message is we are entering 2025 with a well-positioned for further profitable growth even if there are some uncertain European economic conditions. The fifth message is based on the performance of 2024 and the resilience of our model. We are pleased to confirm our target for full year 2025 including the €60 million EBITDA impact expected in Italy, confirm our target of like-for-like EBITDA growth of more than 10% and the cash conversion of more than 70%. Finally, we will be pleased to present our new strategic plan at the Capital Market Day to be held in Paris on the 4th of November, 2025. So if we move in the presentation with the details of the 2024 results. Yes, we delivered a strong financial performance in 2024 above consensus. Our total revenue is now at almost €2.9 billion with a growth of more than 12%. The EBITDA is at €1,265 million with an EBITDA like-for-like growth of 19% which is superior to the 12% of our guidance. Our EBITDA to free cash flow conversion -- the cash conversion is at 70% in line with the guidance. And finally, our EPS is at €2.07, which means an increase of 21% reported for the year 2024. In fact, it’s a restated EPS, because if we look at the numbers in 2023, including the penalty fine of €158 million, this EPS growth would have been almost 94%. So if we go now into the details, yes, Edenred delivered a strong topline growth in 2024. Here you see the breakdown of the total revenue. You see that the total revenue reported increased by 12.2% and it is fueled by the operating revenue that has been growing at 11.4% and the Other revenue that has been growing at 22%. This growth of €311 million in 2024 has been fueled by a very strong operating revenue growth. In fact, 86% of the growth of the total revenue in 2024 has been fueled by the operating revenue growth of €267 million. If we look at the breakdown of this of this growth of operating revenue, you see that, in fact, the growth has been double-digit in Benefits and Engagement, in fact, reported at 14.9%, in Mobility, like-for-like 11.3%, and in fact, Complementary Solutions representing 11% is flat in 2024. And we will explain where the flatness is coming from and what are the plans we have to improve the performance of this business line. If we look at the breakdown per geographical areas, you see that Europe in reported is growing at 10%, you see that Latin America is growing at 15% like-for-like and the rest of the world is growing at 20% like-for-like. So we have topline growth on our two main business lines and across the world by Edenred and this topline growth coupled with operating leverage drove further increase in profitability in 2024. So if we look at our margin of operating EBITDA, the margin of operating EBITDA has increased by 100 basis points in 2024, moving from 38.1% to 39.1%. If we look now at the EBITDA margin, the EBITDA margin has increased even more by 130 basis points, moving from 43% to 44.3%. So on top of the EBITDA margin increase, so the operating leverage, we have been able to generate in 2024 some steady cash generation. If you look at the free cash flow in 2024, it’s a free cash flow of €881 million with a conversion ratio EBITDA to free cash flow of 70%. This very good generation of free cash flow has been driven mainly by our operations because we post a record funds from operation generation up 19.2%. On top of that, we had in 2024 some focus on payment terms and cash collection because we all know that cash is king. After the cash, let’s look at the net debt. So the leverage of Edenred at the end of 2024 is 1.4 times. So the leverage ratio, which is net debt on EBITDA, in fact, the strong generation of free cash flow. How did we use that? In 2024 we made some acquisition for a total amount of €510 million, and at the same time, we increased significantly at an historical level the shareholder returned to a total of €664 million, which is the combination of the dividend and the share buyback. One thing to be noted, the net debt is, in fact, the net between the gross debt and the cash. And as you know, the cash, it’s a picture at the end of the year. We have not been very lucky at the end of 2024 because on the 31st of December, the Brazilian reals, but also the Mexican peso were historically low. So it has impacted our level of net debt of €224 million of negative ForEx effect due to the picture of the end of the year. All those elements lead to a very reasonable ratio of leverage of 1.4 times. On top of the economic performance, we are also very pleased to post good extra-financial performance. We made some significant progress in 2024 in terms of ESG. If you look at our head of chapters, idealpeople, idealplanet and idealprogress, you see that we increased our performance significantly in 2024. Not only we increased the performance but also we have been recognized by the leading ESG ratings. And maybe to be noted, the Dow Jones Sustainability World Index, we were part of the European one. Now, due to our progress, we are part of the World Index or another element to be mentioned among many, on the S&P Global, we increased our rating by 7 points versus 2023. So after this summary of the 2024 results whether economic but also it’s hard economic, I propose that we go into details with Julien for the detailed financial performance. Julien, we are all yours.
Julien Tanguy: Thank you, Bertrand. Good morning, everyone. Very pleased to be with you to share those strong results for 2024. So after the highlights and the presentation of key performance indicators, let’s review Edenred’s performance in more detail. As Bertrand explained, Edenred posted a solid performance in 2024 with a total revenue growth of 11.7% like-for-like, excluding Argentina, operating revenue growth is above 10% and Other revenue are growing 27% like-for-like compared to 2024 -- to 2023. The performance in reported figures is similar to like-for-like performance. Positive scope effect coming from acquisitions is offset by negative FX impact. Performance in Q4 has been strong, although we observed slower growth in Q4. Excluding Argentina, operating revenue is up 7.9%, while Other revenue is down 5.4% in line with the evolution of interest rates. Please note the impact of Argentina. As presented during our investor update in December, Argentina has a negative impact on our like-for-like performance and a very positive impact on FX. And we move to the next page, so Page 21, to understand the impact of Argentina on our performance quarter-by-quarter. I remind you that Argentina is a country with hyperinflation. The full year contribution of Argentinian hyperinflation to our growth is low at 0.7%. This contribution on our revenue growth was positive in Q1, in Q2 and Q3, and is negative in Q4. And due to the devaluation of the Argentinian peso in Q4 2023, we experienced a very positive foreign exchange effect in Q4 2024, plus €35 million and on a full year basis, FX impact of Argentinian peso is minus €6.1 million on operating revenue. So this is what happened in 2024. We expect a full year contribution from hyperinflation in Argentina of around 0.5% on our operating revenue growth in 2025. So let’s move now to Page 22, to our operating revenue performance per geography, and as we used to do it, we start with Europe. So in Europe, we did a good underlying performance and our operating revenue stands at €1,582 million. It’s up 7.9% like-for-like compared to last year. In Q4, excluding EBV Finance, which has been renamed in Edenred Finance, which is a company based in Lithuania, and excluding Belgium purchasing a power voucher. And we come back to that we did indeed more than what you see on the slide and you see that rest of Europe is at plus 6.5% if we exclude those two products, because those two products impacted negatively our performance in Q4. I will come back in more details on that topic and Bertrand will detail our action plans to manage this situation. So we start with France. The quarterly growth is 3.5% and the yearly growth is almost 6%. In Benefits and Engagement in Q4, Edenred recorded sustained mid-single-digit growth driven by Meal voucher despite low performance in Gift, notably due to high comparison basis, and we have a plan to reconnect with a strong growth with this product in France. In Mobility, revenue growth is outstanding with a strong double-digit growth. Our solutions continue to enjoy strong demand, thanks to a range of Energy Cards, providing access to a unique network of low-cost service stations across the country. And Complementary Solutions have been impacted by two main events, first by Incentive programs. So it’s a reminder, but Edenred provides products to improve sales team performance by organizing salespeople ranking and distribution of rewards. And in a more difficult economic context, our customers can decide to stop or decrease the amounts allocated to this kind of program. So this is what happened in Q4. And the second point, and we already touched this topic, we have been impacted by the discontinuation of CESU Social, which is a Public Social Program, and CESU Social is a low profitability and a very limited growth product, so we decided to discontinue it. So in the rest of Europe, in Benefits and Engagement, we recorded high single-digit like-for-like growth, thanks to steady performance in Italy, the United Kingdom and Eastern Europe, and despite the end of the one-off program of Consumption Vouchers in Belgium. So a reminder, Consumption Vouchers is a one-off program launched in Belgium in 2023 in an inflationary context. This program has not been renewed in 2024 and Consumption Vouchers generated around €5 million revenue in Q4 2023. In Mobility, we delivered high single-digit like-for-like growth, excluding EBV Finance. This performance was supported by Southern Europe. So I come back to EBV Finance. So EBV Finance is a company based in Lithuania that provides VAT refund services to its clients, and one of our major clients went bankrupt, and we have a lower level of activity in Q4. Excluding those two programs, so EBV Finance and the Consumption Vouchers in Belgium, our revenue grew 6.5% like-for-like in Q4, so a consistent growth. So after Europe, we moved to Latin America on Page 23. So in Brazil, we grew 10% in Q4 and 10% full year. So this is demonstrating a very positive trend quarter-after-quarter, as you see the growth in Q4 is above the growth of full year. This growth is strongly supported by B&E business line. Both Meal and Food and Beyond Solutions delivered a strong revenue increase. And in Mobility, Beyond products managed on our fleet manager platform is doing well, maintenance, toll and freight payments are driving the growth. In Hispanic Latin America, excluding Argentina, we recorded double-digit growth in both Benefits and Engagement and Mobility, mainly spurred by Mexico. In this country, our growth is strong in Q4 and above year average. After the operating revenue, we moved to Other revenue on Page 24. So Other revenue is up 26.2% like-for-like compared to last year. Other revenue amounts to a record at €247 million. This performance is coming from increase in float as our business volume is growing, and in Q4, this growth in float is partially offset by interest rates evolution. Indeed, in Europe, interest rates are going down while they are up in Brazil. Based on our activity forecast and based on updated interest rates expectation in 2025, Edenred reaffirms its confidence in generating Other revenue at a minimum of €210 million in 2025. So after the topline, I will comment on our 2024 P&L and we move to Page 25. With a total revenue growth of 12.4%, Edenred posted a faster EBITDA growth at 19% like-for-like. This performance has been achieved thanks to a good control of expenses and this cost control has been put in place protecting some key areas such as investment in tech stack. The strong performance of our topline and the controlled growth of our operating expenses at 7.4% leads to a significant improvement of our operating EBITDA margin of 100 basis points moving up from 38.1% to 39.1%. Thanks to Other revenue evolution, this improvement of EBITDA margin is even higher at plus 134 basis points. With those numbers, we confirm the scalability of our business and our capacity to increase operating EBITDA margins. I move to Page 26 with a P&L from EBITDA to net result group share. On this page, the P&L for 2023 is presented excluding the ADLC fine to have a fair comparison basis. One global comment about this P&L, it’s a very consistent one as you see that from the top to the bottom, the growth is everywhere. EBITDA is up 15.7% in reported numbers. Net profit group share is at plus 19.3% and EPS is up 21.1%. Major variations are as follow. Other income and expenses are down compared to 2023. It stands at €28 million including positive impact from the sales of a building in London for €10 million. Net financial expenses increased mainly driven by the full year impact of the financing for Reward Gateway acquisition in May 2023 and income tax expense is in line with our operating performance. Therefore, EPS is moving up from €1.71 to €2.07, i.e., plus 21.1%. After the P&L, we move to free cash flow on Page 27. At constant methodology, free cash flow stands at €881 million. So, 2024 free cash flow is slightly below 2023. The gap is mainly explained by two elements. First, FX impact estimated at around €40 million of which 50% coming from Brazilian reals. And second, the Consumption Voucher in Belgium impacted the free cash flow negatively in 2024 as we reimbursed vouchers issued in 2023. Now, if we look at 2024 free cash flow breakdown, as Bertrand said, the funds from operation performance is extremely strong and in line with our operating EBITDA trajectory. FFO is up 19% versus 2023. And as I used to say, funds from operation is the first cash engine and FFO is growing quickly. Then, regarding float, thanks to business volume growth, float has increased by more than €200 million in 2024. This growth is slightly below last year’s performance. Keep in mind, we stopped CESU Social in France. In fact, the float of few tens of millions and Consumption Vouchers in Belgium have been reimbursed in 2024 as already explained. Working capital request excluding float has been negatively affected by the progressive exit of some clients in Banking-as-a-Service business. So, that using Paytech, our platform where we manage transaction, Edenred is a processor of digital banks in Europe. These business profitability is decreasing due to compliant costs and we have decided to revisit our client portfolio and to ask some clients to leave, leading to an increase in working capital excluding float as obviously the users that are the clients of those banks are getting their money back. As this Banking-as-a-Service activity is regulated, you have the opposite float in restricted cash. So, the third line of the working capital. Those two movements in working capital excluding float and restricted cash relative to Banking-as-a-Service neutralize each other and have no impact on our free cash flow. Last component of our free cash flow is CapEx. CapEx amounts to €217 million. CapEx have increased by 14% versus 2023 and represent 7.6% of our total revenue. After the free cash flow, we move to our net debt. So, you can see on this slide a bridge starting with the net debt at the end of 2023. So, €1.1 billion to go to the debt that we have at the end of 2024, €1.8 billion. So, the debt increase that you see is the consequence, first, of our free cash flow generation as explained previously. Then you have M&A. So, the acquisitions we did. So, the €510 million includes notably the acquisitions of Spirii, EV charge point management SaaS company based in Denmark. IP Plus, an energy cards based in Italy, allowing Edenred to move from sixth to second position on the Italian market. And RB, a leading company in transportation voucher in Brazil, allowing Edenred to become number one on this market. Bertrand will return to those acquisitions in a couple of minutes explaining the rationale behind that. Then shareholder returns stands at €664 million, a record high amount including dividends for around €300 million and share buyback for €356 million. And last block is about currency impact and non-recurring items. As Bertrand said, we have not been very lucky at the end of the year as Brazilian reals versus euro was at BRL6.43, knowing today it’s at BRL6. So, it has impacted our net debt and you see that the impact is €224 million euros. A comment on that, why BRL has an impact on our net debt? It’s because at the end of the year, we have the float that we -- that is generated by operations in Benefits and Engagement in Brazil, and this cash sits in our balance sheet as an asset. As this cash is included in our net debt, BRL weakness has significant impact of the computation of this debt net. And the other items include, for example, IFRS 16 on Edenred premises in several countries. I turn to Page 29 to comment our financial position. You see that this financial position is robust. On the left part of the slide, we represent our issued bonds by maturity. We have no wall of debt in front of us. Our average bond debt maturity is 3.7 years and it is stable versus last year. And then we have a high level of liquidity and a solid balance sheet, €4.9 billion cash and restricted cash on our balance sheet. We have access to financing with undrawn revolving credit facilities of €750 million. And we have short-term and medium-term facilities as well with Neu MTN. We have no financial governance. The cost of debt is 3.5% in 2024 and is stable compared to 2023. And A- rating has been confirmed by S&P Global Ratings in December 2024. To close this full year 2024 detailed financial performance, let’s have a look to our proposed dividend on Page 30. So thanks to our performance in 2024 and thanks to a strong balance sheet, we propose a dividend of €1.21 per share, up 10% compared to last year. This proposal is in line with our progressive dividend policy. And in terms of capitalization, we confirm what we shared with you during an investor update in December. First, we want to keep on funding organic growth initiatives through investments in corporate capabilities. Then we are refocusing M&A strategy on opportunistic bolt-on targets and we are increasing shareholder return through share buybacks. So we are extending the existing share buyback program with an additional amount of up to €300 million over the next three years. And we will manage this capital allocation maintaining solid balance sheet corresponding to strong investment grade rating. So following this capital allocation policy, and if we project ourselves in 2025, we expect our leverage to come down to between 1x and 1.2x, far below the 2.0x of our A- rating. The financial section of our full year result presentation is over. Bertrand is back on stage to give you more color on 2025.
Bertrand Dumazy: Thank you, Julien, for this detailed financial performance, which is indeed above consensus and very consistent, plus 12% of revenue growth, plus 19% of EBITDA growth, plus 21% of earnings per share with a solid balance sheet and a very good cash flow generation. So based on the results of 2024, yes, we are entering 2025 well positioned for further profitable growth, knowing that if you -- if we look at the underlying momentum, as you explained, a good underlying momentum in Europe in Q4 2024, but also an acceleration of growth in Latin America. So yes, we have some headwinds in 2025. Headwind number one is economic uncertainty in Europe. Headwind number two, we know that we have the impact of the fee cap in Italy that’s going to cost us about €60 million. And we also know that the interest rates are decreasing, so it’s going to cost us €30 million of Other revenue decrease and so EBITDA decrease. Having said that, we also have many, many tailwinds on which we know that we can count on. I move Page 33. First of all, let’s remember all of us that Edenred is a major and significant and growing platform with a customer base of more than €60 million, 1 million clients and 2 million merchants generating a business volume of €45 billion. So we are a large and growing platform serving 45 countries around the world. The second thing is that when we look in fact, at our customer base, we know that this large customer base has still significant headroom to reach the full potential. And if we have to summarize the full potential, first of all, we are operating on largely underpenetrated market. So there’s still a lot to go and to do to accelerate on client acquisition. One single number, 80% of our operating revenue today is generated in countries where the SME penetration is below 10%. The second thing we can count on is when we look at our existing client base, there’s still a lot we can do in terms of upselling and cross-selling. You will see that we are very resilient. The churn is low, but there’s still many things we can do in terms of upselling. But it’s also true in terms of cross-selling. On average, we sell 1.5 digital solutions per client, and when we look at our benchmark in certain countries, we are between 3 and 8. Then we have the third thing, which is the pricing optimization. We started developing what we call advanced pricing structure based on AI with the ability to segment bearer our customer base. We are only at 5% of the program. So we still have a long way to go. We discussed a lot in the different presentations about the penetration and the client acquisition. So I propose not to focus on that and not to focus on pricing. Let’s look at what it means, in fact, in terms of potential of upselling we have on our 60 million user base. We look at what we call the Net Retention Rate and there are two things to remember. First of all, the attrition rate in our business is low. It’s about 5%. But we see some differences from one country to another from one product to another. So in terms of attrition, we still have some way to go to improve the equation of monetization of our customer base. The second thing is when we look at the combination of the attrition, but also the portfolio expansion, what we call the Net Retention Rate, we are on average in 2024 at 104%. And when we look at the benchmark of our companies around the world, such as Taiwan or Romania, we can reach a level of 116% or 118% or even 123% in Poland. So to make a long story short, when we look at this simple equation of customer base monetization and maximization, there’s still a long way to go in terms of attrition, but also in terms of portfolio expansion. That’s, in fact, a tailwind that we can count on for 2025. The other thing as well is we have a resilient business model, but our business model is more and more recurring with more and more predictability, because we change the way we invoice our customers. And here you have a breakdown of this equation of operating revenue. We have set up client set of fees that represent 6%. So in fact, it’s generated by the growth of our customer base. But more importantly, we have more and more platform subscription fees that gives us a lot of recurring visibility and you see that it represents now 16% of our total revenue, and it has been growing at 16% in 2024. And then you have the remaining of the equation for 78%, which is the combination of the business volume growth times the take up rate, and you see that, in fact, the business volume in 2024 has been growing by 11%. So what I want to share with you is we have a large customer and user base. This base is growing, and this base is very resilient by nature, and it’s more and more predictable due to the larger proportion of subscription fees and the slow evolution of this platform leading to an operating revenue growth in 2024 of more than 11%. That’s the first bucket we can count on for 2025. The second bucket we can count on is the analysis of the underlying growth momentum we had in 2024, but also in Q4 2024. So if we look at the Benefits and Engagement, and we exclude from those numbers, the Consumption Vouchers in Belgium, and the Gift Solution, why do we exclude both of them? First of all, because the Consumption Vouchers was a 2023 program in Belgium and the program was not renewed on the market in 2024 for all the issuers. And the Gift Solution, because yes, at a yearly pace, we did well, in fact, double-digit growth worldwide. But in fact, the Q4 was a little bit slow. One of the reasons was the basis of comparison because Q4 2023 was super strong and we have some things to change as well as to our Gift Solution. I will get back to that later on. But if you exclude those two things, you see that for 59% of our business, we posted a growth of 13.1% on average, and you see that the Q4 2024 has been growing at almost 14%. So we know that we can count on this very resilient business and double-digit growth in 2025. In fact, if we continue the breakdown between Meal and Food on one side and Beyond Food on the other side, you see exactly the same pattern, Meal and Food. So the curve [ph] of the Core of Edenred has been growing at 12.3%, and in fact, in Q4 2024, it has been growing at 14%. Once again, acceleration in Latin America and we see softer trends in Europe, but globally 12.3%, 14%. Then the Beyond Food, sorry, the Beyond Food, all the additional digital services that we bring on the platform, we have been growing at 13.5% in 2024, and you see that in Q4 2024, we have been growing at 13.1%. So the Food and Beyond Food, Food engine will continue to produce good growth in 2025. And in fact, what is true for Meal and Food is also true for Fuel. So if you look at the curve of the Core, which is the Fuel business, we have an acceleration of the growth in 2024, because the growth has been increasing by 270 points, leading to 7.5% in 2024. And in fact, what is true for Fuel is even more true for Beyond Fuel, you see a growth that has increased by 450 basis points, moving from 10.4% to 14.9%. And in fact, in the Beyond Fuel, those numbers are excluding EBV Finance. It’s a business that we like very much. But 2024 has not been a good year, below par in terms of growth for Edenred. One reason we lost one of our major clients went bankrupt. But I have some good news for you. 2025, most probably is going to be a very good year, because we’re on the verge of signing some contracts that will be game changer for this activity in Europe, more to come in H1 2025. So the second engine we can count on is the underlying momentum we have on the Core and on the Beyond. The third engine we can count on for 2025 is the acquisitions we made in 2023 and 2024. And those acquisitions are very instrumental to fuel the growth. Why? Because those acquisitions allow us to increase the addressable market, so we have more to go. And the second thing is thanks to the synergies, commercial synergies, but also cost synergies that are going to generate growth at the top level, but also at the EBITDA level for Edenred in 2025. You remember Reward Gateway? Reward Gateway, it’s our move from Benefits to Benefits and Engagement. GOintegro, which is the equivalent of Reward Gateway, much smaller, but in Latin America, and RB, acquisition in Brazil, who made Edenred now the number one of the work Mobility in Brazil, and a very good complement to the platform, which is a multi-benefit platform in Brazil. As to Mobility, you remember Spirii, it’s give us a leading position in Europe to accelerate the transition to electrical vehicles and we have Epay in Italy that makes us the number two players now on Mobility in Italy. So it’s a pool of €215 million of revenue that will grow faster than the average Edenred due to the commercial and cost synergies I shared with you. There is another element to remember behind those acquisitions. This revenue, 85% -- more than 85% of this revenue is non-regulated. And in fact, 80% of this additional revenue comes to fill in the buckets of what we call the Beyond Food and the Beyond Fuel, which is a very good thing for the diversification of the Edenred platform, but also a very good thing in terms of profitability. On top of those three buckets that are the tailwinds we can count on for 2025, you also have our strong commitment to optimize the operating performance. And here there are two things that I want to share with you. First, Page 43, 85% of the business of Edenred is doing really well, but we have 15% of the business where we think we are below the standards of performance of Edenred. And at Edenred, when we are below our standards of performance, we act and we act quickly. First of all, Gift, double-digit growth worldwide in 2024. But in France, for example, we are not at par with what we like. So we’re going to accelerate our investments and especially on the digital gift voucher, totally integrated in our new platform called Edenred+. EBV Finance 2024 was not a good year. Yes, we have an explanation. Yes, we lost one of our major clients, went bankrupt. Having said that, it’s an explanation, not an excuse. So we need to be more aggressive in terms of large account acquisition. We started the journey a few months ago and by H1 2025, I will be able to share most probably some good news as to the double-digit growth of EBV Finance. Then the third bucket is CSI. CSI has been growing at double-digit every year, not in 2024. So we need to improve the performance. We change the management team and the new management team has a very clear roadmap in terms of business excellence and product offer on a market that is confirmed in terms of growth. So is it a good market to be with? The answer is yes. Is it possible to have double-digit growth on this market? The answer is yes. It’s now our job to make it happen after the year 2024 that was not as good as the years we had before. Finally, Incentive. It’s a small part of our business. It’s -- Incentive programs that are proposed to salespeople of our clients, but also to indirect distribution channels. On this one, the performance in 2024 was not at par. We don’t know yet if it’s due to economic conditions or due to us, because we don’t know. We say that it’s due to us and we need to work and to work is probably to revamp our digital offer and the good news is we can leverage the Reward Gateway offering. Finally, as usual, we are not afraid of reviewing our portfolio of activity, looking at the potential and based on the potential, do we continue, do we modulate? We are currently reviewing our portfolio of Public Social Program in Europe, but also as explained previously by Julien, what we call Bank-as-a-Service for the B2C. We are in the middle of rationalization. Why? Because the market is less buoyant than it was in the past. The cost of compliance has increased. So the hope of profit growth has decreased. So we need to be laser sharp on the market we want to serve. We are very clear on B2B BaaS. It is our market. B2C BaaS, not every market is equal. So we are more and more focused on the sub-segment of this activity. So that’s the first part, which is looking at where we are below the par, working hard to have a better 2025 year. And when I look at the first results we have on certain activities, I’m confident for 2025. The second part is what we call Fit for Growth. We have a basis of costs, which is €1.6 billion in 2024. So it’s a large basis of cost made of fixed cost and variable cost. So on this cost base, if we generate growth, we have a natural leverage, which is a dilution of the fixed cost. But we also have to admit that during the last three years, our cost base has increased to fuel the growth and we share that with you. We said you repair your roof when it’s sunny so we invested a lot. It’s now time for us to be more efficient. What does it mean? It means that in 2025, the level of our cost is going to increase, but not at the same level as the years before. As an indication, if you take the last three years at 2022, 2023 and 2024, our cost base has increased by more than €400 million. It’s now time to have a return on this investment and so we will do that in 2025. We will continue to invest. We will continue to prepare for the future growth of Edenred. But also this growth will be less high than what it high -- what it was, in fact, in the previous years. So based on those elements, some headwinds, but very interesting and impactful tailwinds on which we are working on. What is our outlook for 2025? I’m pleased, in fact, to say that we commit to an EBITDA growth like-for-like of 10% in 2025 and a cash conversion of 70% and more, even if we know that we have some economic uncertainty in Europe. Page 47, you have an illustration of what I shared with you. So headwinds. The first one is the drop in Other revenue from €247 million to a floor of €210 million. The fee cap in Italy, which has an expected impact of €60 million. But to balance that and to meet the 10% like-for-like growth, we can count on the growth of the Core, on the growth of the Beyond, but also the M&A integration and some management actions. The Fit for Growth program I just shared with you, the product performance plan on the different product lines where we are below the par and when needed and if needed, a portfolio review to maximize our generation of EBITDA and cash. So to make a long story short, our ambition is to maintain a solid topline growth and also to further improve our operating margin in 2025. Five things to share with you, Page 48. Remember that we have a high customer loyalty and a high Net Retention Rate. So the Edenred business model provides for the year to come high predictability and further growth potential. Second message, if you look at the underlying growth of Benefits and Engagement, but also Mobility, we delivered solid underlying growth in 2024. And if we make the precise analysis of Q4, we know that we can rely on those two powerful growth engines for 2025. Third element, we have some acquisition that will fuel the growth of Edenred in 2025. But with the humility of Edenred, we acknowledge a performance on a minority of our business that is below Edenred standards and we have a clear action plan to fix it and to rationalize our portfolio. Finally, in addition to the topline growth and structural operating leverage, our management actions called Fit for Growth will lead to a cost based efficiency management that will contribute to more operating EBITDA margin in 2025. Finally, save the date, in Paris on November the 4th, there will be the Edenred Capital Markets Day. Thank you for your attention. Julien and myself, we are now all yours for the next 40 minutes to answer any question you may have.
Operator: Thank you. [Operator Instructions] And up first, we have Ed Young from Morgan Stanley. Please go ahead.
Ed Young: Good morning and thank you for taking my questions. I’ve got three if that’s okay. The first, first of all, thank you for the extra detail on the recurring revenues and the underlying growth. As you can see, it’s very welcome because there’s rightly a lot of focus on the exit rate from Q4. You’ve called out various one-off factors. How many of these persist into 2025? So, I think Belgian Consumption has lapped. I think CESU is now lapped. So, are there any other drags worth highlighting for Q1 or for 2025? The second is on Brazil regulation. Your main public peer has said they felt portability was increasingly off the agenda there, but there’s also been some commentary from the Ministry of Finance recently. So, what’s your view on like the regulatory reform in Brazil in 2025? And then finally, on the portfolio review in PSP and Banking-as-a-Service, these appear like exits rather than disposals. You’ve given the revenue exposure there. Could you perhaps give an indication of what you expect the profit impact would be if you were to exit the full 3% exposure and would you adjust the 10% like-for-like target for that or is that embedded within it? Thank you.
Bertrand Dumazy: Okay. So, I propose that Julien answers the first question and I take the second and the third one.
Julien Tanguy: Yes. So, regarding the products that we explained have an impact in Q4, as you said, Consumption Voucher in Belgium has no impact in 2025. The program has not been renewed in 2024. So, we don’t have any impact coming from this product for 2025. Then, if we look at two other main products, so the first one is EBV. So, as we said, EBV Finance, which is the company that has VAT refund services for our clients, these companies suffered in 2024, as we said, we expect to have a rebound in 2025. And regarding Banking-as-a-Service for B2C, so the program we have for digital banks, we started to exceed some clients in H2 2024. So, it will impact our operating revenue in 2025 in H1 and it will impact Other revenue, as well as we get revenue from this money and it is obviously included in our expectation for Other revenues. So, the €210 million is a floor and takes into account the fact that we will not have this business anymore. And our operating revenue guidance of 10% like-for-like includes all those elements. So, it means that when we say that we will do plus 10% like-for-like in EBITDA, it includes all those elements.
Bertrand Dumazy: Then, Ed, as to your question for PSP and BaaS, in fact, in the 10% EBITDA like-for-like growth, we took in fact -- we took those elements into consideration. So, as to BaaS, we took, let’s say, the best assumption, best assumption, which is in fact, for us, the worst one, and same thing for the PSP. So, to make a long story short, don’t expect any, sorry, any upside potential depending on the choice we’re going to make on BaaS and PSP, because it’s included and because the impact is somehow limited. Then, as to the Brazil regulation -- the Brazilian regulation, in fact, there is nothing new under the sun. There is some conversation as to the portability, the interoperability. There are sometimes some opponents to the program that are pushing some numbers that are, let’s say, 80% wrong. And so, you see the things bubbling and then after a few days, you see the things disappearing. So, to make a long story short, there is a conversation about interoperability and portability. There will be conversation for the coming month and years, and that’s the way it is in Brazil. The most important is, first of all, to remember that the government is very, very attached to the path, which is an element -- a key element of purchasing power for the millions of workers in Brazil. The second thing is the path is solid in the sense that it’s now a law and it’s a path where the discount is limited. It exists, but it has been limited. Then, the questions about portability and interoperability will take many, many months before we see some clarity and we are part of the conversation. As all the issuers, we are the ones with the other constituencies, but discussing with the government.
Ed Young: Thanks very much.
Operator: Thank you. And up next from UBS, we have Justin Forsythe with our next question. Please go ahead.
Justin Forsythe: Thank you, Bertrand. Julien, appreciate it. A couple questions for me. So, first one, great detail you’ve given around the Beyond programs again. Thank you for that. It’s super helpful. So, just wanted to unpack a little bit the growth algo of Beyond Food, which grew, I think, 13.5% in FY24. So, to simplify, I think we’ve got a couple or a few categories there. So, gifting or end commuter or transportation benefits and then Wellness and Engagement Benefits to give three broad categories, which in -- which of those subcategories would you expect the most growth? I would assume Wellness and Engagement, but maybe you could unpack that a little bit. Separately, I wanted to talk about Italy revenue impacts. Is there any assumption in terms of an exact number that you have baked in for the potential downgrade to Italy revenue, which corresponds to the EBITDA, that €60 million in EBITDA you’re mentioning? And more broadly, what are the expectations for operating revenue growth going forward ex-Italy? Historically, I think we talked to low double digits. Is that guide or discussion still relevant? Thank you.
Bertrand Dumazy: Julien, thank you for your question. I propose to start and Julien, you stop me any time. So, as to the operating revenue growth in 2025, my bet, due to everything that we shared with you, it’s going to be a high single-digit in 2025, most probably. Why? Because we see a slowdown in Europe. We see an acceleration in Latin America. So, let’s say the configuration we put ourselves in for 2025 is a high single-digit, because we also have something to take into account, the €60 million in Italy has a huge impact on the growth of 2025. So, I will say high single-digit for the operating revenue in 2025. Then, as to Italy, the amount of €60 million is to the best of our knowledge. It’s a unique situation. So, we know what we lose. We have some rebalancing to be done. We know that the rebalancing work is going to be in 2025. And after that, the creativity for additional services and other things will come and some other, let’s say, rebalancing. So, as of today, based on our understanding of the situation, €60 million is our best estimate. Then, as to the Beyond program, maybe Julien, do you want to take this one as to the different buckets?
Julien Tanguy: The algorithm and the Beyond Food programs we have. So, as you said, we have several products within Beyond Food. You mentioned Gift, Wellness, Engagement and Commuting. So, the proportion of those products in our operating revenue is not the same. For instance, Commuting is a small program compared to Gift or Wellness and Engagement. In terms of growth, what do we see? As Bertrand said, we did 10% growth in Gifts during this year. But we know we have some weaknesses in some countries. It comes from our offer. So, we’re going to work on that and come back to the market with a stronger offer for our clients. So, the ambition is to accelerate where we can. And as we said, it’s 10% last year. So, it’s below the Beyond Food average growth we shared with you. What does it mean? It means that in Wellness and Engagement, the growth is higher than the 13% you’ve seen in Q4. Why? Because with the acquisitions we did with Reward Gateway, with the acquisition of GOintegro, we are able to address large markets that are underpenetrated and we are able to grow faster than the average Beyond Food solutions that we shared with you. So, in a nutshell, let’s say that Wellness and Engagement will be the first driver of growth and our ambition is to increase our pace of growth in a Gift business where we feel that there are rooms for improvement.
Bertrand Dumazy: So, maybe, Julien, to make a long story short, Beyond Food is expected to grow faster than the Core.
Julien Tanguy: Yes.
Bertrand Dumazy: But we need to be cautious on that because the Core is super resilient, Julien. You never saw an employer decreasing the level of face value that is given from one year to another. And then we have some face value increases in 2024 and 2023 that are still playing, let’s say, a powerful growth engine in 2025. So, most probably, Beyond Food is going to grow more than the Core, but slightly too early to say, because the Core Meal is very resilient.
Justin Forsythe: Got it. That’s really, really helpful, both of you. Just one quick follow-up on Reward Gateway. It seems like you’re having some success with the cross-sells into Continental Europe at the moment. I know you had that stated £100 million revenue target for synergies in 2029. Do you still think that’s attainable? Would you consider pulling that forward or increasing the amount now that you’re getting near two years since the acquisition?
Bertrand Dumazy: No. I think it’s too early to say. In terms of synergies, we did better in 2024 than expected. Part of it was coming from the cost synergies, because there were things we didn’t see during the due diligence and so we have been successful in terms of cost synergies in 2024. In terms of cross-selling, it’s the beginning of the adventure. We have a few iconic logos that we sign in Continental Europe. But frankly, it’s too early to say. Today, I think we are fair in the share of synergies that will contribute to the 10% EBITDA for growth. Too early to say. And because it’s mainly in Europe for the synergies, and because there are some economic uncertainties in Europe, I prefer staying cautious on that for now.
Justin Forsythe: Great. Thank you so much, both. Really, really appreciate it.
Bertrand Dumazy: Thank you, Justin.
Operator: Thank you. And up next, we have Hannes Leitner from Jefferies. Please go ahead.
Hannes Leitner: Yes. Thanks. I got also a couple of questions. The first one is on the Paytech business. Maybe you can just remind us of the size here and the performance of this year and what you expect that portfolio review could impact in terms of topline or is this just like a cost exercise as they were not much and accretive on the business? The second question is maybe on the cost side. Do you see, I mean, you mentioned a little bit the portfolio review, but do you see also some measurements on headcounts? You have been very acquisitive over recent years. So, is there any chance of reducing duplicated positions and real estate? And then the last question is on the phasing of 2025. So, if you are now looking, your first half has a little bit tougher comps on like-for-like growth. You mentioned operating like-for-like growth of high single-digit. So, maybe you can just help us on the phasing given in second half you expect the impact of Italy to come through?
Bertrand Dumazy: Okay. So, maybe I start with the cost side. Our message is the following one. The level of OpEx is going to increase in 2025 versus 2024. The number of headcounts is going to increase at Edenred in 2025 versus 2024 because you need some people, client facing, revenue generating people if you want to generate the growth we talked about. Having said that, here we are talking on average. So, there is for sure some parts of Edenred business where the headcount is not going to grow or sometimes the headcount will decrease slightly to go after efficiency. But to make a long story short, the program we have that is called Fit for Growth is a program where the growth will be less than in 2024, but the growth of OpEx will not be negative. Then your third question was as to 2025. Yes, you are right, in 2025, the first half of the year is going to be a strong basis of comparison. That’s the price to pay to a growth that has been in H1 2024 more than 20%. So, we know that we have a basis of comparison that is going to be a burden in Q1 and Q2, and probably, especially in Q1. So, we know that H1 2025, due to the basis of comparison, is not going to be the best H1 in the history of Edenred. But then for the full year, the combination of the revenue growth and the good management of our cost will lead to a 10% EBITDA like-for-like. Then your first question was as to Paytech. So, Paytech, it’s not a cost exercise. Paytech, it’s a growth exercise. It’s a market that is growing at about 10%. The market in the U.S., it depends on the quarter.
Julien Tanguy: Paytech.
Bertrand Dumazy: Sorry?
Julien Tanguy: Paytech.
Bertrand Dumazy: Oh! Sorry. Sorry. Sorry.
Julien Tanguy: Yeah. So, maybe one word about Paytech. So, Paytech is our authorization platform…
Bertrand Dumazy: Correct.
Julien Tanguy: … that is a business that we have in the U.K. And because this platform is a state-of-the-art platform when it comes to processing and to, let’s say, account administration, we serve both internal and external clients. When we say internal clients, Paytech is a platform that is used by our fee business line when it comes to transaction management. So, it’s the place where we issue our cards and our accounts. And it is a place where we are managing the filtering of the transactions. And on top of that, we serve external clients. So, as we said, we are the platform for digital banks. So, those guys, when they start, they cannot use their own platform. So, we started to work on this market years ago. And what we see today is that digital banks, they can become very successful and become very large and build their own platform or they are dying because they did not -- they have not been able to become profitable. So, we were serving some of those banks and we see that this market is not a market where we can grow anymore. So, what we decided is to go through the portfolio of our clients and to decide which bank we want to work with and which bank we want to put an end to the contract. So, what will be the impact for the next quarter? This business is generating a few million euros of revenue per quarter. So, you will have a negative impact coming from the exit of those clients in the next quarters. So, it’s not that big, but when you look at the trajectory we have in a Complementary Solution, it is an explanation of the fact that, as Bertrand mentioned, we are flat in Q4 on those revenues and it’s because we have decided to stop working with some clients.
Hannes Leitner: Okay. Thank you. I think that was the first answer was rather more on CSI. So, happy also to take there a progress update on the reversal. And then just a little follow-up is on the EBITDA 10% ambition. Maybe you just can remind us given your M&A -- announced M&A has all been closed and you talk about a less M&A going forward, rather more smaller bolt-on. Can you remind us what should be the EBITDA contribution for scope and as it is today on FX for 2025? Thank you.
Julien Tanguy: I’m sorry, Hannes. So, you’re talking M&A and then FX contribution. So, yeah…
Hannes Leitner: So there were -- I think you just started to answer the Paytech question with the CSI in the U.S. with the market…
Julien Tanguy: Yeah.
Hannes Leitner: … growth of 10%, et cetera. So, I’m happy to dive into that. But then what I just recall is the consent -- is the expected 10% like-for-like EBITDA growth. Typically, to get to the EBITDA number, we need scope and FX. So, from today’s point of view, where would you think those two numbers…
Julien Tanguy: okay.
Hannes Leitner: … could come in?
Julien Tanguy: So, I start with the like-for-like -- 10% like-for-like growth on EBITDA. So, we gave some numbers in terms of revenue generated by the acquisitions we did over the last two years. So, if you take that numbers and you look at the contribution of those different businesses, you will find the contribution of those acquisitions to EBITDA next year. For sure, the impact will be positive. I mean, the scope effect in 2025 will be positive. So, if you look at our EBITDA trajectory in terms of published number, we have positive impact coming from acquisitions. Regarding currencies, it’s not easy to explain. As we said, we have not been lucky with the level of Brazilian reals at the end of December. We know that today Brazilian reals is a little bit stronger. So, too difficult for me to give you visibility on that. When you look at the consensus, we see that Brazilian reals should be at least at BRL6 at the end of this year. But, you know, it’s something that is moving a lot. If you look at, what was expected for the end of 2024, when we were in June, we were not expecting what has happened at the end of December. And by the way, when we guided you in July, we did it with Brazilian reals, which was below BRL6 versus euro. It was BRL5.86. And we’ve been able to generate the, let’s say, middle of our target or the range that we gave you in July, knowing that we’ve been impacted by Brazilian real in H2. And we lost probably €5 million to €10 million EBITDA due to real. So, it means that at constant exchange rates, if we take the Brazilian reals at the end of June, our EBITDA landing would have been above €1,270 million. So, I cannot guide you on FX.
Bertrand Dumazy: Okay. So, Hannes, just to conclude on that, it’s 10% EBITDA like-for-like growth. As to the published growth, we don’t know yet. We know that the acquisition will have a positive impact. The FX, we don’t know. The good news is when you look at the way we guide the market we start the year with like-for-like growth in EBITDA. And in H1, as soon as the first part of the year is done, we give a bracket in absolute numbers. So, more to come in H1 2025 results, which will be the third week of July 2025.
Hannes Leitner: Thank you.
Julien Tanguy: Thank you, Hannes.
Operator: Thank you. And we’re now moving on to a question from Sabrina Blanc from Bernstein. Please go ahead.
Sabrina Blanc: Yes. Good morning, everybody. I have two questions, if I may, and a very small one on top of that. The first one is regarding the 2025 action plan. You have mentioned the French Gift offer, the EBV Finance requiring -- which require investment or CSI. Could we have more details regarding the three big elements, the French, the EBV and the CSI? And the second question, I haven’t done all the math at this stage, but if I take into account high single-digit operating revenues, a decrease of Other revenues and at least 10% EBITDA like-for-like growth, that means that we expect operating EBITDA margin to improve and that looks like challenging if you come back on that. And just to finish on a very small one, when you mentioned the positive scope effect in 2025, I guess, that excludes the potential portfolio review, the 3% which are mentioned on Slide 43.
Bertrand Dumazy: Okay. So, Julien, maybe I propose that you answer the question number three of Sabrina.
Julien Tanguy: Yes. So, regarding the scope effect, you need to consider that when we do acquisitions, then it comes into scope effect. When we decide to stop a business, it is not a scope effect. It can be a scope effect if we decide to sell the business. So, we do a transaction with another company. If we keep the business internally, it is not scope, it is like-for-like. So, if we have a decrease in a business that stay into our company, it means it will have an impact in like-for-like performance.
Bertrand Dumazy: Okay. Then…
Sabrina Blanc: Okay. That’s very clear.
Bertrand Dumazy: Yeah. The other question was as to the operating EBITDA margin in 2025. Yes, expect the operating EBITDA margin to increase in 2025. And by the way, you saw it increasing in published numbers by 100 basis points in 2024, and so, yes, the operating EBITDA margin will continue to increase. Once again, we have a natural leverage effect because we have some fixed costs and we are growing. So, we are able to dilute more. That’s the first thing. And the second thing, we have some plans as well to improve our efficiency. I give you an example. We never did some shared business services. So, if you go to the different operating companies of Edenred, everybody has their own accounting, for example, or their own cash collection. That’s synergy efforts we didn’t do in the past and that we, sorry, and that we will do in 2025. So, count on us to improve our level of operating EBITDA margin in 2025. And part of it is based on the action plan we shared with you because one element is to look at our cost structure and to work on it. And once again, our level of OpEx is going to increase in 2025, but it’s going to be less increase. It’s the time of the return on investment versus the €400 million we invested in our OpEx for the last three years. And then the other part is what we call the performance/product improvement plan. So, can I give you more? Not really. I said that we did well in gifting around the world, double-digit growth in 2024, but not in every country. So, for example, in France, we know that we need to reposition our offer, especially from a technological point of view. We are working on it. I will not share more, Sabrina, because this information is public and I have some competitors in France. As to EBV Finance, as I said, we will share more with you in H1 2025. We did some efforts on large accounts and it’s not signed yet. It’s on the verge of being signed, but it’s not signed yet. So, we’ll see how it goes. And if we’re able to announce it in Q1, we’ll be happy to do so. As to CSI, that is now recalled, in fact, Pay North America. And so, sorry, Hannes, about the mixing between Paytech and Pay North America. As to Pay North America, we changed the management team. We are working on our offer -- product offer, because the market has changed in the U.S. and maybe we have been too slow in the repositioning of our offer. And maybe we lost a little bit of our commercial edge and aggressivity after so many years of double-digit growth. So, what we are doing over there is investing for a product offer that is repositioned from a technical and digital point of view, but also, let’s say, re-sharpening the eye of the tiger of our teams within Pay North America.
Sabrina Blanc: Okay. Thank you very much.
Bertrand Dumazy: Thank you, Sabrina.
Operator: Thank you. And from Barclays, we now have Pravin Gondhale with our next question. Please go ahead.
Pravin Gondhale: Hello. Good morning and thanks for taking my questions. First of all, on Mobility, I mean, Q4 like-for-like growth, plus 5% excluding Argentina impact, which seems to have slowed down versus Q3. I appreciate the comp was a bit tough, but can you please share more colors on the Q4 growth in Fuel versus Fuel similar to what you did for Meal and Food on Slide 39? And given there are many sort of moving parts going into next year, be it macro or Fuel prices and EBV Finance impact, can you please give more colors on how should we think about the Mobility growth in 2025? Secondly, on Italy, I realize these are early days, but can you share some color on how receptive corporate clients have been so far on discount rebalancing from your early conversations? And then previously, you talked about potential for challenging the amendment in courts. Is this option still on table or you think it’s better to move on and this brings the market in line with other large markets globally? And then finally, on Reward Gateway rollout, can you just quickly update us on the progress of the rollout in new markets, if it is rollout -- if it is accretive to your like-for-like growth now and as well as to bottomline? Thank you.
Bertrand Dumazy: Pravin, thank you for your five questions. I did not understand the question number four. Could you say it again?
Pravin Gondhale: Sorry, my third question was on Reward Gateway.
Bertrand Dumazy: No. No. The question before you said there is an option on the table.
Pravin Gondhale: Is there -- previously you talked about the option to challenge the Italian amendment in the courts. Is this still on the table or you think it’s better to move on as this brings the market pretty much in line with other markets globally?
Bertrand Dumazy: Okay. So I will start with question three, four and five, and maybe Julien, you can take number one and number two. So in Italy, it’s too early to say. We have a plan, i.e. the pay plan are in place for the rebalancing. The segmentation of the customer base has been done depending on the size, depending on the business activities. I was myself in Milan two weeks ago to meet the salespeople, to meet the leaders of the organization. What I can say is, you have people who are highly energetic and well-organized and incentivized to make it happen. But so far, it’s only the beginning of the year. It’s really too early to say. So we will be happy in the next communication to share information with you. Is the option on the table from a legal point of view? Yes. At Edenred, we do what we say, we say what we do. So basically, we put a claim in front of an Italian judge and we will have some answers in H1 2025. And so the question that is still on the table is, do we stop at the Italian level or do we combine a legal action at the Italian level, but also at the European level? This option has not been decided yet. Probably it’s going to be decided by Q1 or let’s say the fourth month of 2025. Then your next question was as to Reward Gateway. Reward Gateway in 2024, double-digit growth on the topline and double-digit growth in terms of EBITDA. So we are progressing well on the historical markets that are the U.K., the U.S. and Australia. So Reward Gateway did really well in 2024 and the EBITDA margin is at a good level as compared to the group EBITDA margin. And yes, it is a creative thanks to the growth, but also thanks to the synergies, co-synergies we have been able to generate due to the merger between the Reward Gateway activities in the U.K. and the ex-Edenred activities in the U.K. So progressing well and creative in terms of margin. As to the commercial expansion on Continental Europe, here it has a cost, because you need to train your salespeople. You have a lot of meetings to put in place before convincing, let’s say, new users of those solutions. But the dilution of the commercial activity linked to the commercial expansion on Continental Europe has been more than compensated by the creative aspect of the historical market. So to make a long story short on Reward Gateway, so far, so good in terms of commercial expansion, in terms of synergies, in terms of growth on historical markets and in terms of creativeness of the entire activity. Julien, as to the Q4 Mobility growth and colors on 2025.
Julien Tanguy: So regarding Mobility, as Bertrand presented during the presentation, we share with you that our growth in 2024 is higher compared to 2023 for both Core products and Beyond Fuel products. So it means that we did well last year to grow our Mobility business. Then in Q4, as we shared with you, we have a, let’s say, significant impact coming from this EBV business. So the VAT refund business that is impacting Mobility growth as we lost a few million euros of revenue at EBV. Then if we zoom in our different markets, as I said, we did very well in France with more than, well, let’s say, more than double-digit growth. It’s a strong double-digit growth. And then in Europe, if we exclude EBV, we did significant growth as well. So it’s not double-digit, but let’s say it’s a good performance. And then regarding Latin America, we did very well in Mexico with all our products. And in Brazil, the growth is driven by maintenance, by toll and by freight. So as I said, if we exclude this impact of EBV, the growth in Mobility is good in Q4. Then if we look at 2025, we have ambitions in Mobility. We believe that we have room for growth in Europe. The market is underpenetrated. We have the right product to serve our clients. So we expect growth in 2025 and significant growth. In Latin America, we will do well in Mexico as well. And in Brazil, thanks to our maintenance business and all our Beyond solutions. So our ambition for 2025 is to grow our Mobility business and to have a significant growth for all our geographies.
Bertrand Dumazy: Okay. So…
Pravin Gondhale: Thank you very much. That’s really helpful.
Bertrand Dumazy: Thank you, Pravin. Maybe we take one last question.
Julien Tanguy: Yeah.
Operator: Okay. And our last question for today comes from Josh Levin from Autonomous Research. Please go ahead.
Josh Levin: Good morning. You mentioned a few times the client that went bankrupt. Can you tell us a bit more about what drove that bankruptcy? And then just in the past, you’ve talked about how about 40% of the float is invested in bank deposits with maturities of at least three years. Has that changed at all since we last heard from you on that?
Bertrand Dumazy: Okay, Josh, thank you for your question. As to EBV, it’s a client from Eastern Europe in the transportation industry, obviously, that was too much exposed to the German industry. And the car, in fact, car industry, unfortunately, they went bankrupt as a transportation company. And in fact, this client was in terms of fast pay for the VAT collection was one of our main clients. As to the float, Julien?
Julien Tanguy: So indeed, the strategy we have for the investment we do with our cash has not changed. Indeed, when you look at the cash we have in our balance sheet, so we have two buckets. One is restricted cash. The other one is cash and cash equivalent. You know that cash and cash equivalent has to be invested with maturity below one year as this cash is included in the computation of our net debt. Regarding restricted cash, we don’t have this kind of, let’s say, maturity cap. So we can invest in longer maturity, which is what we’ve done, and we have not changed as we decided at the end of 2023 to invest in longer maturity. And when I say longer maturity, it’s three-year to five-year maturity. So it means that the investment we did at the end of 2023 are still in place. So we are still taking advantage of those investments that have been done with interest rates above 4%. It means that the evolution of interest rate in eurozone in 2025 have no impact on the investment we did at the end of 2023.
Bertrand Dumazy: Thank you.
Josh Levin: Thank you.
Bertrand Dumazy: It’s now time for us to conclude this presentation. Thanks for being with us. Once again, we have been proud to deliver a strong performance in full year 2024 from the top to the bottom with a record EPS of €2.07 per share, which is up 21% versus last year. Yes, we exceeded our guidance in 2024. We increased the shareholder return and we enter 2025 with some headwinds in terms of economic uncertainty in Europe, but also the Italian case that’s going to cost us €60 million, but we have also some very strong headwinds that will allow us to meet our guidance of more than 10% EBITDA like-for-like in 2025. Thank you and we wish you all a very good day.